Operator: Alright, everybody. Thank you for holding on the line as you just heard. Welcome to the KULR Technology Group First Quarter 2022 Earnings Call. Now, on the call with me today are KULR’s CEO, Michael Mo, as well as President and COO of KULR and that’s Keith Cochran. And finally, from the company will be joined by Chief Financial Officer, Simon Westbrook. We will also be joined for a Q&A session by Theodore O’Neill at Litchfield Hills Research; and Juan Noble at Taglich Brothers. Before we start the call, though, I want to read the Safe Harbor statements found at the bottom of every company press release and regulatory filings. Statements made on this call do not constitute an offer to sell or a solicitation of offers to buy any securities of any entity. This call may contain certain forward-looking statements based on KULR’s current expectations, forecasts and assumptions that involve risks and uncertainties. Forward-looking statements made on this call are based on information available to the company as of the date hereof. KULR’s actual results may differ materially from those stated or implied in such forward-looking statements due to risks and uncertainties associated with their business, which include risk factors disclosed in the company’s Form 10-K filed with the Securities and Exchange Commission on March 28, 2022. Forward-looking statements include statements regarding the company’s expectations, beliefs, intentions or strategies regarding the future and can be identified by forward-looking words such as anticipate, believe, could, estimate, expect, intend, may, should and would or similar words. All forecasts are provided by management in this call are based on information available at this time, and management expects that internal projections and expectations may change over time. In addition, the forecasts are entirely on management’s best estimate of their future financial performance given their current contracts, current backlog of opportunities and conversations with new and existing customers about their products and services. With no – the company assumes no obligation to update the information included in this call, whether as a result of new information, future events or otherwise. With that, I will now turn the call over to Michael Mo. Michael, the call is yours.
Michael Mo: Thank you, Stuart, and thank you, everybody, for joining us today. This is Michael Mo. As I’m sure you all saw, we intentionally issued our earnings press release a bit earlier today in sync with the 8-K filing of our financing event that you can find on the SEC website. First quarter was an exciting start of 2022 for KULR on the product and business development fronts. We shipped our sample products of our carbon fiber solution to a Metaverse OEM customer as a core component in the sensing of electrical nerve signals to control navigation to the virtual environment. This partnership marks KULR’s corners entry into the Metaverse market, where we believe our solution has additional opportunity to support this growing industry. We secured a battery safety contract with NASA to screen lithium-ion battery cells for future battery pack design for the Artemis program, which is NASA’s mission to go to the moon by 2024 with a woman and a personal color. KULR can process up to 10,000 lithium-ion battery cells per week based on instruction from NASA and also the Department of Defense. KULR was awarded three additional contracts with DoD prime contractors to implement the carbon fiber capital solution for high-power magnetic and other convert pulse weaponry initiatives. We appointed Dr. William Walker, formerly NASA Johnson Space Center’s senior leader in thermal analysis as our Director of Engineering. Dr. Walker will be an important part of our engineering team to build our suite of battery thermal management and safety products as well as next-generation high-performance computing thermal management initiatives. We released a corner tech safe case product for maritime lithium-ion battery storage. That meets the upcoming United States Coast Guard’s new battery safety requirements for the passenger vessel industry and provides additional battery safety options for the cargo, fishing and cruise verticals. We continued our R&D program to use carbon fiber substrate materials inside a battery to make them charge faster and make them contain more energy. The configuration is to work with both existing liquid electrolyte and solid electrolyte. Our battery cell development has produced our own LLCO solid-state battery electrolyte. It is in prototype stage right now, which we think can be a commercial product for sale in second half of 2022. On the supply chain and logistics side, it was a challenging quarter as we encountered supply chain disruption due to the COVID lockdown in China, like many other companies. We had over $325,000 worth of inventory that we built that could have been recognized as revenue in the first quarter but ended up not being shipped due to the COVID lockdown. We are pleased to report that these products have been shipped to the customer when the lockdown eased a bit. Much of the COVID-related challenges have meant delays in product shipments not cancellations. So as the restrictions ease in the coming months, we expect to make up for lost time and revenue as we move through our sizable inventory. We’re now taking active steps to reduce our supply chain and logistical risks going forward. We announced today that we have secured a $55 million in additional capital to drive 2 key initiatives. First is that we’re working on securing battery cell supplies of over 500-megawatt hours in energy capacity from Tier 1 battery manufacturers. We are securing the inventory in anticipation of fast-growing demand from our key end markets in energy storage and e-mobility. 500 megawatt hours is enough to power approximately 40,000 homes using currently available domestic energy storage options. By integrating our thermal management and battery safety technologies together with the battery cell suppliers, the cooler will provide total system solutions to specific high-value energy storage and e-mobility applications with a total top line revenue potential of between $250 million to $350 million. The second initiative is to control supply chain and manufacturing costs and reduce disruptions, risk by bringing much of our supply chain and production capabilities to North America. Given the current global macroeconomic conditions and geopolitical risks, we believe it’s essential that we can shore up our supply chain and take further control of our operations locally. Now we have excess of capital to do so. This opportunity will allow us to maintain our margins as the improvements in logistics flexibility and response times will more than offset potential increase in labor costs. By securing the resources and infrastructure we need, we can build confidently and be in a strong position to grow. Next, Keith Cochran, our President and COO, will present operational updates. Keith, please.
Keith Cochran: Thanks, Michael. During Q1 ‘22, KULR was able to produce our backlog per plan, and our operations team did an outstanding job. Unfortunately, as you mentioned, the COVID lockdown that occurred in Shanghai, China at the end of March, left our production on the docks of no option to shift. Therefore, we did not achieve our revenue goals that the team had worked so hard to produce. We have since been able to negotiate with the Chinese officials for the release of the shipments and that revenue will be realized in Q2 ‘22. We have now taken action to create a buffer stock of materials, which we are in negotiations to have our customers take immediately as a hedge against future potential lockdowns. Based on the thorough review of our geopolitical environment and increased logistics costs, we have opted to onshore production in North America in most cases. For our reviews of landed cost, this move will primarily be neutral to margins for cooler considering the impacts of rising logistics costs coming from Asia. With the ship in production location, KULR will also gain the additional benefits of reduced lead times for our customers and more predictable revenue delivery. Our engineering team has made significant progress to complete the development of KULR’s automated battery cell testing solution, and we remain on track for our previous comments, tabelize completely qualified in Q3 and begin full capacity testing by Q4. The automation has been very complex, taking over a year of development but allows for us to operate this capability in the USA at an acceptable cost level. This platform is completely modular, and we will be expanding it as our customer demand increases. I’m excited to say KULR’s cell check baseline platform is now complete and we are actively seeking new customer engagements as this platform is designed to be customized by the end customer to work in their specific battery packs and their use cases. We expect initial revenue to be generated by nonrecurring engineering charges followed by a long-term subscription model, our licensing and agreement. This platform, which was very software-intensive, has been delivered and developed using our engineering team in the U.S. and our partners in India. The automated battery cell testing solution as well as cell check platform represents a significant effort for cooler to deliver mass market applications starting in Q4. We have additional platforms in development, which we will be making announcements for in the coming quarter. All of the platforms we currently have in development are intended for large-scale markets. It is important for KULR to have a global strategy for our development and manufacture products. Accordingly, management has spent a significant amount of resource in the last two quarters to develop additional partners to multisource our needs in diverse geographies. Our new suppliers have now begun deliveries and we are pleased with the flexibility, pricing and quality of their services. We believe this diversity will help increase our ability to rapidly react to customer demand and market uncertainty. Next, KULR’s CFO, Simon Westbrook, will present financial updates. Simon?
Simon Westbrook: Thanks, Keith. This is Simon Westbrook, and I’m going to talk about our financial results for the quarter just ended in March 31 compared to the same quarter last year. For revenue, the results for the current quarter were impacted by ongoing COVID-related logistics and supply chain issues that restricted our ability to ship to meet some customer orders. As a result, our sales reduced by 52% from $418,000 in 2021 to $200,000 this year. For selling, general and admin expenses, they increased to $3.5 million in the first quarter of this year from $1.5 million in the corresponding quarter last year. The increase of 136% was due to additional marketing and advertising expenses, consulting fees and non-cash stock compensation paid to employees and consultants and the expansion and kicking out of our new office facilities. Our R&D expenses increased 486% from $123,000 in the first quarter of 2021 to $721,000 in the first quarter of 2022. This reflects a combination of headcount our new and automated test and production equipment, first implemented in the last quarter of last year. Operating results, the loss from operations increased 141% and from $1.5 million for the first quarter of 2021 to $4.1 million for the first quarter of this year. The increase in the operating loss included $0.9 million increase in non-cash stock-based compensation expense and increases in payroll, advertising and marketing expenses as well as professional fees and research and development projects. Our net loss increased by 141% from $1.7 million in the first quarter of 2021 to $4.2 million in the first quarter this year. Our net loss per share for the first quarter of 2022 was $0.04 compared to $0.02 for the comparable period last year. Looking at our cash position. At March 31, 2021, the company reported cash balances of $10.1 million compared to $6.2 million at March 31 this year. Since the quarter end, we have raised over $7 million from the issuance of warrants and promissory notes and have established a $50 million standby equity purchase agreement. This funding leaves us well positioned to expand operations, support new business and consolidate our manufacturing operations in the United States to ensure greater control over logistics in the face of continuing worldwide uncertainties. Now back to Stuart.
A - Stuart Smith: Alright. Thank you for that, Simon. So now I’d like to welcome to the call Theodore O’Neill from Litchfield Hills Research. He’s got our first set of questions. For Management, Theo, the call is yours. Go ahead.
Theodore O’Neill: Thanks very much. I was wondering I have two questions. First is, can you give us a little more color on your lithium-ion cell testing for NASA. I’m pretty sure Tesla or its battery subcontracts or test their own cells, it’s my assumption that GM also has its own test protocol or its supplier LG. And I’d like to know if there is an opportunity for standardization and cell test who would drive the standardization? And will there ever be – do you think there will ever be a third-party test market or will it remain like it is now the Wild, Wild West?
Keith Cochran: I’ll go ahead and take that. This is Keith Cochran. Thanks for your question, Theodore, appreciate that. Yes. So as I previously stated, it took us a little over a year or 2 develop significant automation to support the NASA work order 037, which is very intensive, very comprehensive complete battery lot characterization. The test platform we developed for them is probably far and away way above what Tesla and GM are doing today. These batteries are designed to go into space and can’t fill missions. So with that said, that’s on track. It’s looking great, and we’re excited to put that into full production heading into Q4. You asked a little bit about standardization and sell test. I think I wouldn’t be surprised at all if we see California and New York probably charge from a state level considering there have been some battery fires caused significant damage and they tend to lead on a regulatory capacity and then potentially maybe that rolls up into the federal. As far as standardization, the applications for battery cells are really diverse. I think what we’ve done at KULR is we’ve made our system pretty modular, so we can serve a broader range of different markets. For example, we could probably do – I don’t know exactly how to see Tesla’s entire specification. But based on what I know of it. I’m pretty sure we would be able to support them. We’d certainly love to support their SpaceX program, which would have requirements. I guess, very similar to what NASA has. But I don’t see an immediate regulatory body stepping up on this, but I think it will happen over time.
Stuart Smith: Great. Theo, I think you had – Theodore, I think you had another follow-up question.
Theodore O’Neill: I do have a follow-up question. Yes. And sort of – you answered part of this on the prepared remarks. Of the finished good products that didn’t ship out of China in the first quarter, where I think you said they were in Shanghai when they – where they were delayed, was it just shipping or was there some kind of manufacturing aspect that was delaying it? And where were these products going?
Keith Cochran: Yes. No manufacturing issue whatsoever. In fact, the finished goods were ready to ship approximately 2 weeks prior to the end of the quarter. And our customer was not ready to release that shipment until they had completed their UL9540 certifications. Unfortunately, that took them into the last week and by the time they released us, we are already experiencing the lockdown in Shanghai. So no production went great. The issues there whatsoever and the product was shipping from Shanghai over to Wuxi. Wuxi still open unfortunately, Shanghai wasn’t.
Stuart Smith: Alright. Well, then our next set of questions is going to come from Juan Noble at Taglich Brothers. Juan, the call is now yours. Go ahead. It looks like you have a question for Keith as well.
Juan Noble: Yes. Several questions. I was hoping that you could provide an update on the Volta order for 2022 and the potential growth of shipments in the coming years, I know that Volta has publicly stated that it plans to bring between 750 to 1,000 battery storage units using coolers technology, they plan to bring this to market in 2022, and they plan to increase that up to 50,000 units in 2023.
Keith Cochran: Yes. Well, a couple of things on both for one. They are a tremendous partner. We’re very lucky to have them as a customer. I mentioned earlier, we’ve just completed as a team UL9540 certification. That’s a real big deal for energy storage type products. So we’re super excited by that. With regards to their forecast, I would be comfortable to talk about what they publicly stated. And that’s what I would actually ask you to rely upon is their public statements, not something that would be coming from KULR.
Juan Noble: Okay. But as far as you see right now, there is nothing to say that that this may not come to fruition. I think the original order was actually for 2022. So, that looks like it’s basically a good to go order at this point.
Keith Cochran: What I can tell you is we are shipping product, and it’s been completely certified by UL. And we are looking for a nice event in June that they will be hosting with the Governor of New York, I believe. So, as of right now, we have every reason in the world to believe what they publicly stated.
Juan Noble: Okay. And it looks like you are branching into new applications for our technology with the recent entry into biosensing for the Metaverse. So, how long has this been under development? And are there any other new applications that you might be looking at? I was hoping you may be able to disclose them on this call.
Keith Cochran: Yes, I am going to go ahead and flip that to Michael.
Michael Mo: Yes. No. Thanks Keith. Hey, Juan. Good to hear from you. So, for this application is because of the electrical sensitivity and the thermal connectivity characteristic of our carbon fiber substrate material and that was a really good fit for this application. We expect our material to be actually kind of a foundational platform for many other new applications. The electric pulse sensing one, it was actually first tested by Yale University researchers in the medical side over 10 years ago to pick up signals from the brain. And then we have done quite a bit of work on that now, just really happy to see new applications with the similar characteristics and obviously, a much larger market opportunity in the Metaverse space. In addition to that, to something that we are really excited about is really using this material as a substrate inside the battery for higher energy density and faster charging capabilities, especially now we are able to produce our own solid electrolyte we have just opened up a lot more opportunities to innovate and produce safer batteries. So, that’s something we are super excited about.
Juan Noble: Okay. And is this license – are you licensing this technology? I mean I just want to get an idea of the ownership of this electric pulse sensing technology.
Michael Mo: Yes. No, we are not licensing this. It’s a finished product that we sell to the customer were to incorporate this physical piece into a wearable of their VR/AR glasses.
Juan Noble: Okay. And another question, your battery safety contract with NASA for the Artemis program now. I believe it was scheduled to launch in May, which we are currently in. So, I was hoping that you could provide a status on this program and if you have any information on how long you believe this program will actually run.
Michael Mo: Yes. So, the main launch into the Artemis, just I just want to be clear that we were not part of that particular program. The overall Artemis program is to go back to the moon by 2024. So, we are just getting started scratching the surface on the battery testing and the screening side right now. That’s where the automation program that Keith talked about, we will kick in later this year. And that will pick up the scale and perform a lot more versatile tasks based on the NASA working structure. So, we are just getting started on that program.
Juan Noble: Okay. And just one final question into the $55 million that you just recently entered into that agreement to secure inventory in anticipation of demand from key end markets awards or key end markets. So, I was hoping you could tell us where you believe most of this demand will come from. And how much inventory you believe that you would need to procure to be able to satisfy, I know it was in the press release, stated in your prepared comments, about $250 million to $350 million in revenue. So, I wanted to get an idea of how much you might need to tap into your financing to be able to get that type of inventory for this kind of market.
Michael Mo: Yes. Good question, Juan. So, we expect most of the demand will come from energy storage and e-mobility products where safety, reliability and high performance is very important for their products. So, in these markets, we will apply our entire technology portfolio to the product, starting from the screening of the cells to get the most reliable battery cells and design them into a fully PPR battery pack and test them to meet all the necessary regulatory requirements on safety, reliability and so forth and it go through certification such as EMA certification and so forth. And then we will apply our CellCheck solution to manage the entire life cycle, the active management of the battery pack. So, this kind of solution approach 400 – about 500 megawatt-hours of energy, which is – it’s roughly about 40 million cells presents that entirety of this $300 million worth of revenue potential for us. In terms of question about how much of the $55 million capital we would have to achieve that, that’s – I think that’s still to be negotiated with the vendor at this moment, the supplier. And then we want to be as capital efficient as possible, but it’s certainly nice to have that available so to build the confidence in both our vendors, our customers and ourselves when we execute this strategy.
Juan Noble: Okay. Well. Thank you for that. That’s all I have. Thank you.
Stuart Smith: Well, thank you, Juan, and thank you, Michael. I would like to thank everyone, including our guests today Juan Noble from Taglich Brothers, Theodore O’Neill from Litchfield Hills Research. And of course, the management team, Michael Mo, Keith Cochran and Simon Westbrook. I know they extend their deepest gratitude for all those joining us on the call today. And all of their shareholders be sure to visit the company’s website, kulrtechnology.com. If you click on the Investors tab, you will see presentations. You will find all of these calls archived as well as some of the other things like the 10th Annual Gateway Conference in Benzinga and all kinds of wonderful information on the company. So, on behalf of management, this is Stuart Smith saying, thanks so much for tuning in today.